Operator: Good day, ladies and gentlemen, and welcome to the lululemon athletica Q3 2013 Results Conference Call. [Operator Instructions] I would now like to introduce your host for today's conference, Therese Hayes. Ma'am, you may begin. 
Therese Hayes: Good morning, everybody, and thank you for joining us on our third quarter 2013 conference call. A copy of today's press release is available on the IR section of our website or furnished on Form 8-K with the SEC and available on the commission's website. Shortly after we end this morning, a recording of today's call will be available as a replay for 30 days, also available on the website. 
 Hosting our call today is John Currie, our CFO. Christine sends you her very best wishes with the announcement of Laurent Potdevin as our new CEO. She's now focusing on transitioning him into the role and will not be joining us on the call this morning. 
 We would like to remind everyone that statements contained on this call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of '95. Actual results may differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC. And with that, I'll turn the call over to John. 
John Currie: Thanks, Therese. Let me start by saying on behalf of the lululemon team, that we'll miss Christine, both personally and professionally, and we wish her all the best. 6 months ago, in addition to initiating the search for our next CEO, we were also actively looking to fill 3 senior vacancies on our management team, all in the crucial product area. Since then, we successfully filled each of these roles. Jennifer Battersby in the position of SVP, Product Operations; Steve Berube as SVP, Logistics and Distribution; and more recently, Tara Poseley joined us as our Chief Product Officer. Now, with the addition of Laurent Potdevin as our new CEO, as we announced on Tuesday, going forward, we have in place the full management team needed to strengthen our foundation and capitalize on our growth opportunities. 
 The third quarter went pretty much as we planned and guided. We started the quarter running at a low single-digit comp rate, as delivery issues caused us to keep summer goods on our floors through August, when we normally would have set our fall product. 
 The black luon never out program in bottoms drove sales in August and September, and particularly in our tight silhouettes, in both solid and patterns, as our guests loved our technical seamless fabric for yoga in both tops and bottoms. 
 The quarter got progressively better in October was the strongest month. In our continued rollout of our international infrastructure, we opened 2 more showrooms in Asia in the third quarter, 1 in Hong Kong and 1 in Singapore, to bring us to a total of 5 in Asia. We also opened 2 more showrooms in Europe, both in Germany for a total of 7 in Europe at the end of the quarter, including the U.K., Germany and the Netherlands. 
 There are plans to open 3 more international showrooms in the fourth quarter, 1 in Asia and 2 in Europe. And we're still on track to open our first store in Europe in the Covent Garden area in London in late Q1 of 2014. 
 We came into the holiday season better equipped to handle high traffic volumes during peak periods, with handheld POS units for line busting. In our high-volume stores, we rolled out mobile e-Commerce devices to draw on e-Commerce inventory when the store is out of a guest's size or color. Our pricing architecture has also improved over last holiday season, with a better assortment of gift-giving items and key price point items, such as our cozy up style jackets in the $100 range. 
 We also continue to get very positive feedback from our guests on the new Full-On Luon, which is now available in all tight bottom styles. 
 Having said this, we've experienced a soft start to the fourth quarter. As we discussed on our last call, the supply chain team that we bolstered with new hires this year is now going through our entire sourcing process and putting in place new procedures to improve on-time delivery and quality control. 
 While these improvements are being put in place for future seasons, for now, we've enhanced our back end quality control filters at the distribution centers to ensure faulty product does not make it to our stores, and it resulted that some styles have been rejected by our quality filters and not released to stores. 
 The late product deliveries that impacted Q3 have also continued, resulting in uneven product flow and in some cases, cancellation of purchase orders. We know that any lost sales incurred during the fourth quarter, resulting from this increased focus on quality, is the smart investment for the long-term health of the business. 
 In addition, we are seeing a slowdown in traffic to our stores. Our best guess is that this is a result of a combination of causes. There's a difficult macro retail backdrop with all retailers experiencing lower traffic, but it would be naïve to think that the company specific issues that we've been dealing with this year, from the luon setback to the recent negative PR issues, have not also had some impact. 
 The combination of traffic and product issues resulted in a lower expectation for fourth quarter guidance. Now let me give you some details on the third quarter, and then I'll come back and provide more specifics on the outlook for Q4 and the full fiscal year 2013. 
 So for the third quarter, total net revenue rose 20% to $379.9 million from $316.5 million in the third quarter of 2012. The increase in revenue was driven by comparable store sales growth of 5% on a constant dollar basis. The addition of 46 net new corporate-owned stores since Q3 of 2012, 37 new stores in the United States, 2 stores in Canada, 4 stores in Australia and New Zealand, and 3 ivivva stores. 
 In direct-to-consumer sales, which increased by 37.3% or $16.8 million. If we included e-Commerce as a store in our comp calculations, the combined comp will be reported as 11% on a constant dollar basis. These are offset with the impact of a lower Canadian and Australian dollar, which had the effect of decreasing reported revenues by 7.5% -- or sorry, $7.5 million or 2%. 
 During the quarter, we opened 17 net new lululemon stores in the U.S., 2 in Australia and New Zealand and 2 ivivva stores. We ended the quarter with 247 total stores versus 201 a year ago. There are 184 stores in our comp base. 38 of those in Canada, 117 in the United States, 21 in Australia and New Zealand and 8 ivivva. 
 Our new store productivity also remained approximately $1,100 per square foot, which contributed positively to the third quarter performance. At the end of the quarter, we operated 63 showrooms, which include 5 in Asia and 7 in Europe and 12 ivivva locations. 
 Corporate-owned stores represented 76.5% of total revenue, or $290.7 million, versus 79.6% or $252 million in the third quarter of last year. Revenues from our direct-to-consumer channel totaled $62 million or 16.3% of total revenue, versus $45.1 million or 14.3% of total revenue in the third quarter of last year.  
 Other revenue, which includes wholesale, showrooms and outlets totaled $27.3 million or 7.2% of revenue for the second quarter versus $19.4 million or 6.1% of revenue in the third quarter of last year. 
 Gross profit in the third quarter was $204.6 million or 53.9% of net revenue, compared with $175.3 million or 55.4% of net revenue in Q3 2012. The factors which contributed to this 150 basis point decrease in gross margin were a product margin decline of 220 basis points, due primarily to higher air freight spend to improve product flow; product mix and an increase in our inventory reserves, offset with 30 basis points of leverage from occupancy and depreciation and 40 basis points of leverage in product and supply chain team costs, due primarily to timing of spend. 
 SG&A expenses were $112.3 million or 29.6% of net revenue compared with $94.7 million or 29.9% of net revenue for the same period last year. The increase is due to an increase in store labor and operating expenses associated with the new stores, showrooms on outlets, as well as increases at existing locations due to higher sales volumes, increased variable operating cost associated with our e-Commerce business consistent with the 37% year-over-year growth in this channel, and increases in expenses at our Store Support Centre, including salaries, administrative expenses, professional fees, management incentive and stock-based compensation associated with the growth of our business. These increases were offset with the weaker Canadian and Australian dollar, which decreased reported SG&A by $2.3 million or 2%. 
 In addition, we incurred a $1.8 million foreign exchange gain in our operating subsidiaries. As a percentage of revenue, our third quarter SG&A leveraged 30 basis points, due primarily to the foreign exchange impacts just discussed. As a result, operating income for the third quarter was $92.3 million or 24.3% of net revenue, or $80.6 million or 25.5% of net revenue in Q3 2012. Tax expense for the quarter was $27.7 million or a tax rate of 29.5% compared to $24.7 million or a tax rate of 30.1% in the third quarter of 2012. Net income for the quarter was $66.1 million or $0.45 per diluted share. This compares with net income of $57.3 million or $0.39 per diluted share for the third quarter of 2012. 
 Our weighted average diluted shares outstanding for the quarter were 146 million versus 145.7 million a year ago. Capital expenditures were $27.9 million for the quarter, related to new stores, renovations, IT and head office capital compared to $33 million in the third quarter last year. 
 Turning to our balance sheet highlights. We ended the quarter with $600.7 million in cash and cash equivalents. Inventory at the end of the third quarter was $206.2 million or 25.2% higher than at the end of the third quarter 2012, higher than our forward sales growth expectations, partly attributable to the timing of winter receipts compared to last year to a shift in our buying calendar. 
 This now leads me to our outlook for the fourth quarter and full fiscal year 2013. As I had discussed earlier, as a result of the supply chain issues, overall traffic trends and a weaker Canadian dollar, we're revising our fourth quarter guidance to a range of $535 million to $540 million of revenue from our prior quarter estimate of $565 million to $570 million. Our guidance assumes a continuation of the weaker-than-expected performance that we've seen quarter-to-date. 
 Our sales guidance assumes a flat comparable-store sales percentage increase on a constant dollar basis compared to the fourth quarter of 2012. E-Commerce is performing better than expected. And including e-Commerce, our guidance for the fourth quarter would give an 8% combined comp. This outlook assumes a CAD 0.94 with the U.S. dollar, and 7 new store openings, 4 in the U.S., 1 in Canada, 1 in New Zealand and 1 ivivva. 
 We expect gross margin to be below last year and in the mid-50s range, due to higher air freight costs and the impact of foreign exchange due to a weaker Canadian dollar compared to last year. We expect SG&A, as a percentage of revenue to be consistent with the fourth quarter of 2012. Investments made in the fourth quarter that deleverage on lower revenue offset with the true-up of our management incentive plan expenses, given our revised projections. 
 Assuming a tax rate of 30% and 146 million diluted average shares outstanding, we expect diluted earnings per share in the quarter to be in the range of $0.78 to $0.80 per share. For the full fiscal year 2013, we'll open 43 net new corporate owned stores, which includes our ivivva locations. We will also open 12 international showrooms this year. We expect full year net revenue to therefore be in the range of 1.605 billion to 1.61 billion or a growth of 17%. We expect gross margin for the year to be between 53% and 54%. We expect SG&A to deleverage as a percentage of revenue compared to 2012, due in part to lowered revenue along with the investments we're making in the business to support our long-term growth. 
 As a result, we expect our fiscal year diluted earnings per share to be approximately $1.94 to $1.96. This is based on 146 million diluted weighted-average shares outstanding and it assumes an effective tax rate of 30%. We expect capital expenditures to be between $100 million and $105 million for fiscal 2013, reflecting new store build-outs, renovation capital for existing stores, real estate purchases, including our new Ohio distribution center, IT projects and other head office capital, including expansion of our existing premises. 
 That concludes my prepared remarks. And as we turn it over to Q&A, I just want to mention that you might hear either Therese Hayes, whom you know, or Chris Tham, our VP of Financial Planning and Analysis, who are here to help me with questions today. So Operator, we can turn it over for the questions. 
Operator: [Operator Instructions] Our first question comes from Adrienne Tennant of Janney Capital. 
Adrienne Tennant: John, my question, really, is on these ongoing delivery of last quality issues. And we're in the stores, we're noticing stock-outs, both online and in-store on recently flowed products. And then we were told that perhaps that you won't get a replenishment for that, a lot of the jackets for the run -- cold-run, run -- cold-weather run stuff. And so how does this impact Q1 as we turn into the New Year? Will we see a resolution of that as we go into Q1? And if you can just talk about the -- just clarification on the -- did you say that if you had included GTC, that you would be running an 8% comp. And on that flat, do we need it to accelerate and get better? Or is that kind of a pretty constant across the remainder of the quarter? 
John Currie: Okay. Maybe I'll take the second question first. Yes, if e-Commerce was included in our comp guidance, it would be at an 8%. And the guidance does not require an improvement for the balance of the quarter. It reflects just an extension of the trend that we've been seeing. In terms of stock-outs that you're seeing in Q4, we are seeing great guest acceptance of some of our seasonal items that we haven't bought really deeply in, which is typically, what we do. And you do see stock-outs. And when I talk about late product deliveries or product that has not been released to the stores, in some cases, it is the seasonal assortment that's selling very well that, is therefore impacting revenue. As we get into Q1 and beyond, the improvements that are really underway with the new team on the supply chain side are a journey. We're putting the processes in place. And they will -- as each season progresses, the improvements we're making are going to improve our execution. But it's not all at once. And so, as we go through next year, you'll see continued improvement in product flow. 
Adrienne Tennant: I guess, can you give us the Canada and U.S. comp split please? 
John Currie: For Q3? 
Adrienne Tennant: Yes. 
John Currie: Yes, Canada was just slightly negative. I think it rounded to minus 1%. U.S. was high-single digits, positive. 
Operator: Our next question comes from Camilo Lyon of Canaccord Genuity. 
Camilo Lyon: John, I was hoping you could give maybe just some historical perspective on how the fourth quarter correlation with e-Commerce and stores really trend into the holiday season? 
John Currie: Yes. I mean, with all the other ups and downs, one of the things we are seeing that's positive is a shift towards e-Commerce. E-Commerce has been very strong. In Q3, it was our highest penetration ever at 16.3%. That is continuing. And that's -- I think more and more, our guest is shopping both channels. And that's why I'm making a point of also talking about the combined comp because there's a shift, to some extent, from stores to e-Commerce. 
Camilo Lyon: Okay. And then just with respect to the mills that you're onboarding. It seems like the second mill that was going through the onboarding phase here over the past couple of months had started to produce product that was of high-quality. Can you just update us on the production capacity coming from those mills? And are they starting to contribute to the better in stock levels? Or when -- if not, when should we see that? 
John Currie: Yes. The second luon supplier is fully on stream. We're very pleased with the quality. And so they're helping both with quality and capacity. And we're still on track to have a third luon manufacturer on the stream by spring of 2014. 
Camilo Lyon: And just last, if I could follow-up on that. Could you just break up the impact between the supply chain disruptions and the slower traffic as it relates to the flat comp in the fourth quarter? Is it a 50-50 split? Or there is one the main driver over the other? 
John Currie: Yes. Roughly, I'd say it's about 1/3 the product issues and 2/3 traffic discussion. 
Operator: Our next question comes from Omar Saad of ISI Group. 
Omar Saad: John, I'm wondering if you could maybe elaborate on or discuss further the PR issue impact that you had mentioned in your prepared remarks and what you think you're seeing from your store associates and the guests in the stores? 
John Currie: Well, I think anytime there's negative PR for a company, there's an impact on the business. I'm not saying we can see a one-to-one correlation. But let's face it. We've had lots of PR issues this year, whether it's the luon pullback or Christine's resignation. And there is, undoubtedly, some impact on traffic, and therefore on the business. Our job is to make sure that that's a short-term impact by earning back the trust of the guest. And that's what we're focused on both in terms of quality and making sure we're connected with our communities. 
Omar Saad: And then, I think you mentioned that October, in the third quarter, was the strongest month of the quarter. But it seems like you've seen this sharp slowdown since then to start the fourth quarter. Is there something specifically happening around that transition from October to November that's going on in the business? 
John Currie: Yes, not to get into weekly comps. I mean it -- November started somewhat slow. I think that might have been more product flow related. We saw, actually, very strong Black Friday, Cyber Monday weekend, and then dipped down again after that. So again, it's really too early to diagnose trends, but that's what we've seen. 
Operator: Our next question comes from Edward Yruma of KeyBanc Capital Markets. 
Edward Yruma: Just really quickly on the weak traffic trend. Does the guidance contemplate kind of a step up in promotion, increase in marketing, or things to kind of offset some of these weak traffic trends that you might be seeing for the balance of the holiday? 
John Currie: No, it does not. I mean, I've mentioned, yes, there's some increase in our inventory reserves to contemplate some level of additional markdowns, since we're running a little bit behind, but not terribly significant. And no other strategic changes other than that. 
Operator: Our next question comes from Liz Dunn of Macquarie Capital. 
Unknown Analyst: This is [indiscernible] in for Liz. The question is that, in light of the PR issues, we were curious to know how you're measuring customer perception of the brand and how you're engaging with the customer beyond the apology video from last month? 
John Currie: It's really difficult to hear the question. Could you maybe repeat it? And... 
Unknown Analyst: Sure. This is [indiscernible] in for Liz. In light of the PR issues, we're curious to know how you're measuring customer perception of the brand and how you're engaging with the customer beyond the apology video from last month? 
John Currie: Okay. We are conducting brand perception surveys, et cetera, and that's, it’s a little too early to talk about our conclusions from that. In the very near term, as I said, the 2 things that we need to do are ensure that only the best quality product gets to the floor, so that we don't disappoint the guest, and reconnect with the guest. And, so for example, we have instituted a program over the holiday call -- we call it, no humbug, where we've allocated funds to each store to just surprise and delight the guest in whatever creative way they want to. It's not discounts, but just sending somebody home to visit their parents for Christmas or whatever else they come up with. Just random acts of kindness to the -- because that's who we are, and just trying to connect with the communities again. 
Operator: Our next question comes from Lorraine Hutchinson of Bank of America. 
Lorraine Maikis: John, where are you in the investment cycle, both for sourcing and international rollout? And should we see a step up in the SG&A rate next year to support these 2 investments? 
John Currie: Yes. In terms of sourcing, as I said, it's a journey. A lot of it is headcount, but there are significant system investments that we have been incurring last -- certainly, over the last year to 18 months. And those will continue over the next couple years anyway. So we're sort of midway through that step-up in investment. And also, international. In 2013, we put in place the core teams in each of Asia and Europe. We've done a lot of the infrastructure build. And what you'll start to see in 2014, as we open up more showrooms and even move to stores in some locations, you'll see some additional SG&A drag as we get up to critical mass in those markets. I think in 2013, international was a net negative of sort of mid-single digits. And it'll be something higher than that in 2014. And depending on the pace of rollout, we'll turn positive once we have enough stores and have critical mass in those markets. 
Operator: Our next question comes from Oliver Chen of Citigroup. 
Oliver Chen: I had a question on the nature of the current environment with respect to the promotions in the marketplace. Is that something that's impacting your business? And is there a view on how your merchandise margins may be in fourth quarter? Also, if you could just comment briefly on your inventory and the current status of it and how we should expect the growth rate next quarter, if you're comfortable with the level of freshness that's in the composition now? 
John Currie: Okay. Well, when I talk about the macro retail environment, it's not just general traffic in the malls, but it is also how promotional is everybody else. And it is a promotional season, as it looks so far. And we've dealt with that before. We're not promotional. But at some point, if everyone else is on sale, it does impact our performance. And that's the environment that we're living in this holiday season, as we have several other holiday seasons. I'm sorry, can you repeat the second question? 
Oliver Chen: The second question is just about the inventory composition and where the growth rate of inventory stand at the end of fourth quarter, and if the current status of the inventory freshness is okay with you relative to the sell-through’s? 
John Currie: Okay. Of course, inventory levels at the end of the fourth quarter is going to depend on how the holiday season turns out. Again, we're running a little below plan. So our inventory levels will likely be a little bit high and we'll be sending some product to the outlets. In terms of composition, I guess, the good thing is a lot of our, call it, heavy inventory is in our core styles, which we typically don't mark down and aren't season specific. So that will limit the amount of promotional activity. In terms of freshness, again, the holiday tends to be very different than what we'll be looking at in Q1. As we said earlier, we've got some great seasonal styles that have resonated with the guest and have flown off the shelves, and we're out of stock. So when that's the case, we'd love to have had more of some of those. But at the same time, we don't want to find ourselves overstocked in those items that are seasonal. 
Oliver Chen: Do you have any flexibility to become more strategically promotional in order to kind of offset what you're seeing versus competitors? Is there anything that can be done with respect to that so that you can garner your fair share of traffic? 
John Currie: Yes. I mean, It gets to be a much longer conversation. But certainly, we can be flexible as it comes to clearance and markdowns. Again, since a lot of our heavy inventory, as I said, is core, that may not be much of an issue. But we have been creative in the past. We've done pop-up stores, we've done warehouse sales. We'll do those again. And those should be adequate to once again clear the aged inventory. 
Operator: Our next question comes from Jennifer Black of Jennifer Black & Associates. 
Jennifer Black: I just have a couple of questions. We've noticed that some of your price points appear to be reaching new highs. And I wondered if you could talk about the customer's response? And do you feel you've pushed price points too high in this economy? And then my second question is, have you considered a loyalty program with the incredible growth that you've experienced to get the word out quicker to your most loyal customers on new products and product issues? 
John Currie: Okay. In terms of price points too high, you're probably looking at some of the seasonal items outerwear, where typically the price point is higher. We think we've hit a better balance this year. If you remember last year, we had some of the What The Fluff and other outerwear styles had been, I think, priced too high and we brought them down. That was more of an issue last year than what we're seeing this year. And I don't think we've pushed the price point beyond where our guest is comfortable, especially in those special items. In terms of a loyalty program, that's not in our near-term strategy. Having said that, with digital and mobile becoming more and more important, I think, our strategy is to connect with the guest and let them know when new products are dropping. I think, there's lots of opportunities to improve our execution there in the future that may or may not look like a typical loyalty program. But definitely, we're looking at how we can evolve in that area. 
Operator: Our next question comes from Brian Tunick of JPMorgan. 
Unknown Analyst: This is Kate [ph] on for Brian. Just a quick question. So in order -- in terms of the slowdown in traffic, are you usually in there more in terms of new customer adoption? Or is it existing customers that aren't coming back to the brand? Just your sense in terms of who is picking up the brand and who is not? I mean -- and then also, if you could just speak to a changes that you're seeing in the competitive environment, particularly as more retailers enter the athletic and performance wear category? 
John Currie: Sorry, I can't remember the first question already. Can you please repeat the first question? 
Unknown Analyst: Sure. In terms of the slowdown in traffic, do you sense it's more in terms of new customer adoption, right, that's slowing? Or is it more so existing customers that aren't coming back? 
John Currie: I think it's too early to have a diagnostic on that. We are finding, as I said, the seasonal items, the unique items are selling. Typically, that's more our repeat customer, our guest. So that might indicate that she's continuing to come back, selling less core. That may indicate less new guests, but again, it's really too early in the holiday season to do that diagnostic. 
Unknown Analyst: Okay. And then just what you're seeing in terms of the competitive environment? 
John Currie: Yes. As I've said repeatedly, there's no one competitor that we're looking at, that's opening stores that is having a particularly significant impact. But the crowded landscape, of course, makes it more difficult to stand out. And our focus has to be on making sure that our product offering is the best and our in-store experience is the best, so we continue to stand out from that crowded field of competition. 
Operator: Our next question comes from Lindsay Dracker Mann of Goldman Sachs. 
Lindsay Mann: Just 2 quick questions. You talked about the difference between the U.S. and the Canadian comp. I was just curious, if you could can dig in a bit on the drivers within each market, whether you saw similar impact from traffic or product issues or AURs or whatever the comp composition might be within the U.S. versus Canada, or if those markets were different? And then secondly, just to approach Lorraine's question in a different light. You talked about the supply chain story for you guys being a journey. As you've moved along, do you feel as if you have all the things you need to tackle under good control? Or are you considering perhaps, a much -- a more material step up in the amount of investment you'll need in order to get the systems right? 
John Currie: Okay. In terms of Canada and the U.S., of course, there are still very different levels of maturity in the 2 markets. Canada is fully built out in a very mature market, whereas the U.S., we're approaching 2/3 built-out and still lots of brand awareness improvement ahead of us. And in spite of that, as we've seen the slowdown, they've been in proportion to each other. So if Canada is X percent below plan, the U.S. is the same level below plan. So that indicates to me that it is the product flow issues that are across the board and to some extent, macro issues. It tells me that it's less competition than in those factors because in the U.S., there are more people trying to look like us than we have in Canada. So I do think it is interesting that the softness is consistent across both countries. In terms of the supply chain, there is a step up required that is what we've been incurring this year, and we'll continue to step up next year. And it's consistent with -- there's no change in our plan recently. Going back to March, and even before, when we're bolstering our supply chain teams and looking at the processes, we knew that there'd be a step up in our SG&A related to those efforts and it's several million. Again, a lot of that is in our run rate today, and there'll be some step up next year. 
Operator: Our next question comes from Kimberly Greenberger of Morgan Stanley. 
Kimberly Greenberger: John, I'm wondering, the product quality issues have been there since March. And if I heard you correctly earlier, it sounds like November was really the timeframe that you started to see a dislocation in the traffic trends into your stores. I'm wondering if you have any ideas or if you've received any feedback from your stores or guests on what the driver of that might be? Do you think there's any causality between Chip's interview and that fall off in traffic? And then, as you look out into 2014 and 2015, is there a way to help us understand or dimensionalize the incremental spend or the incremental investments that you feel like you need to make in the supply chain and product quality in order to make sure that there is consistent high-quality brand standard product that's flowing to the stores? 
John Currie: Okay. As I said before, whenever there's negative PR, it's reasonable to assume that there is an impact on the business. I wouldn't say we have specific feedback from the stores that their lower traffic is related to either Chip's comments or quality concerns. But I do think, as I said, it's realistic to assume that when there is negative press, that there's an impact on the business. And I do think that's impacted us in November and early December. And again, we're focused on reversing that trend. In terms of incremental investment in the supply chain, again, that's all underway. I think, our run rate of spend related to how we're changing the processes and beefing up the teams, probably $10 million or so annually of operating spend. And again, a lot of that's in our run rate for Q3 and Q4, and we'll continue and ramp up some as we go into 2014 and 2015. 
Operator: Our next question comes from Faye Landes of Cowen and Company. 
Tal Lev: This is Tal Lev for Faye. Christine, if you're listening, we're sad to see you go. So first, was or is traffic negative in Q3 or early in Q3 or so far in November? And then, we frankly don't understand why guidance is for flat in-store comps, if October and Thanksgiving were strong, and especially, given the year ago compare that's so much easier sequentially, just seems very draconian? And then finally, a housekeeping. What was the percentage of the men's business in the quarter? 
John Currie: Okay. No. In Q3, traffic was not negative. The comp that we had was driven primarily by positive traffic, just not as positive as we're used to seeing. Traffic in Q4 to date is kind of in line with the comp, it's pretty flat. And again, that's why the guidance is for a flat comp. And again, as I mentioned, but maybe didn't highlight, the other thing in terms of the store comp is we do see a shift towards e-Commerce. And it's increasingly relevant, I think, to think about our comp as both stores and e-Commerce. And as I said, the combined comp guidance for Q4 is 8%. Men's in Q3, Christie, you have that, the men's penetration? 
Chris Tham: Yes. I think, it was about 13.5%. 
John Currie: So men's continues to improve penetration. It's -- if we just broke out the men's comp, I think, it's in the 20s. So men's continues to improve, better acceptance as we're improving and expanding the men's product line. So that's -- the men's opportunity is still a real focus for us in the next year. 
Tal Lev: Can you shed some light on what's driving the 20s comp in Men? What products or areas? 
John Currie: I think, at this point, it really is better product. I think we've hit our stride in terms of the designs of the product team and we're introducing new items, new colors, so that there's more selection for the male guest than what they've seen in the past. And that will continue to be a driver, as well as we do have a pretty significant men's team that we've built up. It is focusing on the men's business beyond just the product piece of that. In terms of brand and marketing and how do we connect with the male guest, who is, of course, very different than the female guest. And I think, again, as we go into 2014 and beyond, that will also drive the opportunity that we see in the men's side of the business. 
Operator: Our next question comes from Sharon Zackfia of William and Blair. 
Sharon Zackfia: So a couple of quick questions. Canada, I mean, obviously, it's been slightly negative for, I think a little over a year now. Can you confirm, if you include e-Commerce, whether Canada has been comping positively with e-comm all this time? 
John Currie: Yes. It has. Yes, as I said, the stores have been at very high productivity, sometimes flat, sometimes slightly up and sometimes, slightly down, but e-Commerce has continued to extend our reach in the Canadian market. And it has been -- the combined, I believe, has been positive every quarter. 
Sharon Zackfia: Okay. And then a question on 2014 and then coming back to the fourth quarter. I guess on 2014, I know 6 months ago, there was all this conversation about product flow and different ways to optimize that in 2014, segmenting by climate and doing more strategic markdown optimization and so on. I'm wondering, given the emphasis on product quality control, whether that's getting pushed back further now into 2015 or whether that's still on the docket for 2014? 
John Currie: There's a pretty significant systems implementation project related to that, that we are kick starting in 2014. So the IT team and the business owners related to that are going to be busy on that in 2014. But you won't see it impacting our -- the way we operate until 2015. 
Sharon Zackfia: And then, lastly, on the fourth quarter and your outlook. It sounded as if some of the initiatives you've implemented, like mobile POS and so on, have really helped during times of high traffic, like Black Friday weekend. Last year, it seemed as if maybe your quarter slowed somewhat towards Christmas, as you ran into out of stocks and some challenges handling that traffic. I mean, as you think about what you saw over Black Friday weekend, I mean, is there -- am I too optimistic to think that there's a positive wildcard as you get into those 10 days around Christmas, where you have that really high traffic volume? Or is the product flow really going to negate the potential positives of the mobile POS and so on? 
John Currie: Well, I guess, a couple of things. I mean, this is a tough time to be giving guidance because those super busy days leading up to Christmas are still ahead of us. So we do in -- we do expect, obviously, a significant step up in traffic, and because of the mobile POS, et cetera, we are better equipped to handle those high-volume days. And to your point, I think that did help on Black Friday and wherever else we had a spike. But I wouldn't get carried away in terms of upside expectations. To your point, last year it was actually a slow ramp and then kind of a spike just before Christmas. So I think that is likely similar to what we're expecting to see this year. 
Operator: Our next question comes from Matt McClintock of Barclays. 
Matthew McClintock: I was wondering if you can talk about the e-Commerce business outside of U.S. and Canada. Is that a meaningful size yet? And how does this business accelerate once you launch a regional website? Lastly, are you learning anything from this business that is changing your views towards countries that you want to prioritize for expansion? 
John Currie: Okay. Actually, international e-Commerce really -- we're looking at as ramping up in conjunction with our bricks and mortar presence. Because we don't do mass advertising, similar to what we saw in the U.S, until we have a physical presence, there really is very little brand awareness. And therefore, the e-Commerce business is not significant until we make some progress on our physical presence. So right now, for example, if you look at Europe, we have 7 showrooms, still not a significant physical presence. We have an EU specific e-Commerce site and 1 for the U.K. And they're growing significantly as those showrooms seed the markets and improve our brand awareness. But a couple of things -- until we have stores, that'll still be quite limited. And other aspect is with only a handful of showrooms and e-Commerce, the volumes are low. And therefore, the inventory levels that we can keep in Europe have to be fairly focused on the core and not too deep. And so, the guest on international e-Commerce sites is still at a point where they don't have the full product assortment. So the key is, get enough critical mass moving to stores and e-Commerce so that we can offer the full assortment to those guests. And that's when we expect to see international e-Commerce becoming more significant. For the time being, it's where we expect it to be, but it's not a meaningful number in the current revenue targets. 
Operator: Our next question comes from Sam Poser of Sterne Agee. 
Sam Poser: I have a couple of questions. Number one, what percent of the quarter is in the books thus far in your current -- where we are as far as revenue? And number two, the SG&A grew at just under 19% in the fourth quarter, which was a significant deceleration of absolute dollar growth. How should we think about that both in Q4 and looking into next year? 
John Currie: Okay. Chris is working the calculator on your first question. 
Chris Tham: About 1/3 of the quarter has already been booked so far. 
John Currie: Then in terms of the lower-than maybe what you expected SG&A growth, I think you have to take into account the currency impact in that, since most of our SG&A is in the office here in Vancouver in Canadian dollars. As we translate to U.S. dollars, that actually reduces the reported SG&A. And as well in Q3, as I mentioned, there was a foreign exchange gain that offsets SG&A. I think, when you normalize for those items, the rate of SG&A growth is probably closer to what you would have expected. 
Operator: Our next question comes from Mark Altschwager of Robert W. Baird. 
Mark Altschwager: John, you've talked a lot about the SG&A side of things. Just hoping, higher level. How do you feel about the 25% longer-term margin target? I know you'll be cycling some gross margin headwinds next year. So maybe just help us understand the puts and takes as you think about the margin goals? 
John Currie: Yes. Long-term, there -- continues to be no reason to expect that our margin profile would be different than what I've been talking about to the market, 55% gross margin, 25% operating margin. And that's an offset of positive leverage on the core business, offset by investments to continue to build the foundation, and the investment, sort of early stage investment in international growth. So long-term, nothing in my mind has changed in that regard. In the very near term, if we see the traffic trends take longer to get back to historical levels of increase, that could cause some short-term compression on margins, especially if there's initiatives to put in place to drive that traffic back. But, when I talk about long-term targets of 25%, there'll be periods where we're higher and periods where we're lower, depending on investments that we have to make and then harvesting those investments. But longer term, no change in our view on that. 
Mark Altschwager: Okay. And then just following up real quick on Q4. I think one of the headwinds faced last year was just under positioning on some of giftable items, lower-priced items. Just -- could you talk about how you are positioned this year, and the early trends you're seeing from that? 
John Currie: Yes. I think we've done a better job this year in acknowledging that this is actually a gift-giving season. So there are lots of lower-priced items, some great mitts, et cetera, that are doing very well. And not just those lower-priced items, but a better selection in the key gift-giving range, plus or minus around $100. That's where there was a real void in our pricing architecture last year. So in that regard, I think we've done a better job this year. 
Operator: Our next question comes from Pamela Quintiliano of SunTrust. 
Pamela Quintiliano: Just a few -- clarification 3Q. How big an impact were the product issues in 3Q within the framework of what you were talking about with 4Q guidance? And then, I know there've been a lot of questions just surrounding the sourcing improvements. But any granularity at all on timing, even if it's what product we should see improvements with first? And just how we should think about into next year? And then just last, any updates on ivivva? 
John Currie: Q3 impact on product issues, I mean, when I talked about Q4, it was really the breakdown between traffic and product issues. I think that the traffic piece of that was less of a factor in Q3. So the product piece in Q3, actually may be a little bit higher because remember, we had very late deliveries of fall product that had a significant impact on August in particular, as we had the summer product still on the floor through August when we should had the fall product on there. So I'd say, that piece was more significant in Q3 than what we're seeing in Q4. Sourcing improvement, sorry, can you repeat that part of it? I'm sorry. I couldn't remember your second question on sourcing improvement... 
Pamela Quintiliano: Just any commentary or granularity on when we should be seeing those improvements or what areas we should be seeing them in first, just how you're tackling that when we think about the progression of '14? 
John Currie: Yes. I mean, I wouldn't say it's in -- this particular style mix or that one because there are across the board improvements on the processes that we employ with all mills, with all cut and sew factories. Having said that, luon is definitely our complicated fabric and that's where our focus has been. But I think, we're already seeing improvements there with a second supplier and the third one coming on. And also with our new 28 gauge Full-On Luon that the guest is absolutely loving. But other than that, I think it's across the board initiative that impacts all of our fabrics and products. Then lastly, ivivva. Sorry, I always kind of overlook ivivva because it's a little sister, but it's actually becoming a really significant growth driver as we look forward. In the quarter, I believe the ivivva comp was 17%. They're now a productivity of getting pretty close to 900 a foot. And so, we are looking to increase our store rollout in ivivva for next year, and I'll include that in my guidance on the next call. 
Operator: Our next question comes from Janet Kloppenburg of JJK Research. 
Janet Kloppenburg: I wanted to just ask John. Has this direct business accelerated from the third quarter to the fourth quarter? And perhaps, if you could explain why the issues that are affecting the stores may not be affecting the direct side of the business? And I think you said your inventory is a little bit high. Just wondering if there was a way to feed the direct business with the store inventory so that perhaps the inventory -- perhaps the markdown levels in store may not be as high as they might be, if comps continue to be flat? And lastly, on the quality control issues, where you're rejecting products. How long do you think that will last, John? Is this something you can look out to, and forecast how long this may cause imbalances in your assortment? 
John Currie: Okay. Well that one question, let's see, e-Commerce, yes, in fact, strong in Q3, and we've seen it even stronger in Q4, both in terms of year-over-year growth rate and penetration. So yes, really excited about what we're seeing there. The question why is e-Commerce not impacted as the stores are, in spite of the strength of e-Commerce, I think there is a similar impact. It's just that it's got such a strong growth trajectory that it's just a lower positive as opposed to flat or negative. If we do have excess inventory that was expected to be allocated to stores, absolutely, we have the ability to shift that to e-Commerce. We do buy for e-Commerce as a store. But since we do the fulfillment from our own distribution centers, it's relatively easy to shift inventory that was designated for stores into the e-Commerce channel. And the impact of quality controls, as I said, this is a journey. I feel great about the team we have in place and the progress we're making. But the quality controls that we are evolving to are very much front-end loaded. They're having people and processes at the mills, as the fabric's being made. And then checks and balances as we go through the cut and sew process, et cetera. And at a minimum, those can -- improvements can only affect the seasons that are just now being planned. In the meantime, as I said, we're focusing on quality control at the back end until those processes are affecting the current season. So quality control is very much focused on -- at the DC making sure that product that's already been delivered, if there are defects, that we're not releasing that to the stores. So at the store level, we're dedicated to ensuring that you won't see quality issues. But for some period of time, if those exist, they will be product not released to stores as opposed to there were never issues for the outset. So again, as 2014 progresses, we'll get progressively better. And by 2015, we're not holding back on investment, et cetera, and hiring. And by 2015, we should be seeing a much, much smoother supply chain operation. 
Therese Hayes: Okay. That's all the time we have for of this morning. Thanks, everybody, for joining us on the call today. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a wonderful day.